Operator: Good day everyone and welcome to the Entegris, fourth quarter 2009 earnings release conference call. Today's call is being recorded. At this time, for opening remarks and introduction, I would like to turn call over to Steve Cantor, Vice President of Corporate Relations. Please go ahead sir.
Steve Cantor: Good morning and thank you all for joining our call today. Earlier, we announced our financial results for our fourth quarter and fiscal year ended December 31, 2009. You can access a copy of our press release on our website, www.entegris.com. Before we begin, I would like to remind listeners that our comments today will include some forward looking statements. These statements involve a number of risks and uncertainties which are outlined in detail in the reports and filings with the SEC. On this call, we will also refer to non-GAAP financial measures, as defined by the SEC in Regulation G. You can find a reconciliation table on today's press release as well as on our website. On the call today are Gideon Argov, President and CEO, Bertrand Loy, Chief Operating Officer, and Greg Graves, Chief Financial Officer. Gideon will now begin the call.
Gideon Argov: Thanks Steve and good morning. Thank you all for joining the call. I'll provide an overview on the fourth quarter and then Greg Graves will provide color on the financial results. We are very pleased with our results of the quarter. First, our fourth quarter sales grew 32% sequentially from a $146 million. A level not seen since 2008. The growth reflected the continued rebound in our core semiconductor market for both our unit driven products which grew 23% and our capital equivalent components which rose 56% from the third quarter. Secondly, we return to profitability and achieved non-GAAP EPS of $0.12, reflecting a non-GAAP operating margin of 15%. We were able to achieve this level of profitability with revenues that were $20 million below what we would have needed in previous cycles to obtain that margin. These results reflect the combination of temporary as well as permanent cost controls. Third, we generated $11 million in cash from operations and further reduced our debt to approximately $70 million. Debt's been reduced by more than 50% since last year at this time. In terms of the revenue trends by market, sales to semiconductor customers were up 41% from the third quarter. Representing a 75% of Q4 revenues. Our sales to customers outside of the semi-industry were 25% of total revenues. Sales to data storage TFT, LCD and LED. Customers remained strong. And sales to other industrial markets improved modestly. The unit driven and capital expenditure driven split in the fourth quarter was 66% to 34%, reflecting a shift toward capital driven sales from the third quarter. Our business continues to be driven largely by unit production in the semiconductor and micro electronics markets. But our exposure to the CapEx side of the market provided a good boost in the fourth quarter. We had excellent performance across each of our divisions in combination controlled solutions; our largest division grew 43% from the third quarter to $94 million. Sales of CCS capital products, such as photochemical, pumps for [tract tools] were also up significantly. We saw high demand for a range of fluid handling solutions used in (inaudible) tools as well as to facilitize already constructed new fabs and fab lines. In addition, we experienced significant demand for our gas purification systems that are used to control contamination in the LED manufacturing environment. We had another quarter of excellent performance in sales of filtration solutions in part from continued demand related to the high production levels at our customers as well as market share gains in some key areas. The CCS division not only provided healthy growth in the fourth quarter, it also generated $24 million in operating profit, excluding corporate costs. That is a 25% operating margin for this business for the quarter. Sales in our Microenvironments segment grew another 18% in Q4. We experienced solid demand for shippers, both for wafers as well as for data storage components. In the 300 millimeter shipper market, we ended the year with just below 10% share of the market, despite a difficult industry environment during much of 2009. On the transport side of the ME business, demand for hoops and other carriers improved but was at a level reflecting modest industry spending for capacity expansion, which drives revenues for these products. On an operating basis, the moves we made to transfer production to lower cost areas and to reduce the fixed cost of this business are paying off. The ME division reported operating profit of $9 million or 24% of revenues, excluding corporate costs. Sales in our specialty material segment rose 15% from Q3 to $14 million, this reflected improved demand for our coatings products, as well as Poco's specialized graphite, used in semiconductor and microelectronics' applications. Sales to other industrial markets continue to improve as those markets recovered with the general economy. Operating margins for specialty material division improved 14% in Q4, excluding corporate costs. Before turning the call to Greg, I want to take a moment and summarize where we are today and where we've come from over the past year. The year just ended included the most violent and abrupt downward and upward cycle of demand that our industry has witnessed. When we at Entegris saw the storm clouds gathering in late 2008, we made a series of strategic decisions. These included, one, permanent and large reductions in our fixed cost structure. Two, a dramatic shift of a manufacturing presence away from relatively expensive North American locations towards Asia, which brings us both proximity for many of our customers as well as lower costs. Three, a streamlined organizational structure that is built more responsive to our customers as well as more transparent to investors. And four, a renewed commitment to aggressive product development, in order to take advantage of the downturn to ultimately gain market share. With the fourth quarter results, you can begin to appreciate and understand the magnitude of the changes we've made at Entegris. In a real way, it is Entegris 2.0. Leaner, faster, closer to our customers, and more profitable at lower revenues than ever before. Greg?
Greg Graves: Thank you, Gideon. I'll provide some detail on the fourth quarter financials and then add some commentary on current business trends in our operating model. We truly were pleased with the results in the fourth quarter in every respect. Our 32% sequential sales growth reflected sustained and steadily increasing order rates through Q4 which have continued thus far into the first quarter. Non-GAAP EPS, which excludes amortization and certain non-cash charges, was $0.12 per diluted share. By geography, sales for our largest region, Asia, grew 36% sequentially. Japan and the US also showed strength, increasing 33% and 18% respectively. Sales in Europe grew 58%. Foreign exchange rate changes had a $3 million favorable impact on sales, due to the weaker US dollar. In addition the fourth quarter included four additional days, compared to the third quarter. Gross margin for the fourth quarter improved to 43.9%, up from 40.4% in Q3 as we had significant higher volume and realized additional benefits of the production transfer to Malaysia. It is worth noting that the Q4 gross margin is the highest level we have achieved since the third quarter of 2006 when revenue was nearly a $170 million. Operating expenses excluding amortization and restructuring were $42.1 million or 28% of sales. In absolute dollar terms, this was higher than the $37.8 million we reported in Q3 and slightly above the level we forecasted in our last conference call. The increase was due to variable compensation and incentive costs related to higher Q4 sales. The four additional days in the quarter and to a lesser extent the impact of foreign exchange rate. Q4 operating expenses did reflect the restoration in Q3 of a portion of the temporary cost cuts we made in the first half of 2009. Beginning in Q1, all compensation related cuts have been restored. The quarter's results included a restructuring charge of $3 million related to the closure of one of our Chaska Minnesota manufacturing facilities and the move of manufacturing from that facility to our other existing operations. The move is now complete and the vacated building is on the market. In addition, we closed a large warehouse in Minnesota and terminated a lease at the end of December. With these transitions complete, we do not expect to have restructuring charges in 2010. Depreciation expense was $7.3 million in Q4, down modestly from Q3. CapEx for the fourth quarter was $1.6 million and $13.2 million for the full year. We expect CapEx in 2010 to be approximately $20 million. Turning to the balance sheet, we reduced our funded debt to $72 million, including $52 million under the revolving credit facility. Last year at this time, we had debt of $164 million, including a $139 million under the revolving credit facility. And we were in discussions with our bank group about getting relief on our covenants. Today, I am pleased to say we have a much stronger balance sheet and financial position. Our Q4 cash balance was $68.7 million. While this was down $10 million from Q3, our net cash position improved by that same amount as we reduced debt by $20 million in the quarter. We continue to remain focused on working capital management. Even with increasing sales and order trends, we decreased inventory. Inventory turns improved for the third consecutive quarter moving to just under four time from 3.2 in Q3. DSOs also improved, going to 57 days in Q4. Looking to the first quarter, business trends continue to be positive through the first four weeks, and currently point to moderately higher revenues in Q1. With this in prospective our average weekly revenue continue to improve throughout the fourth quarter with the second half of the quarter being higher than the first half of the quarter. Moving to the cost structure, we are affirming the target operating model that we communicated in September. As you may recall, at a $150 million in quarterly revenue, that model had non-GAAP operating margins of 12% to 14%. And levels above $150 million, we would expect additional operating leverage and higher operating margins. While we have restored salaries and incentive compensation, we have not and will not add significant costs back to the business. We have eliminated $40 million of annual fixed costs and we have no intention of putting that back. In Q1, we expect manufacturing fixed costs of approximately $26 million, variable manufacturing costs of about 38% to 40% of revenue, and operating expenses exclusive of amortization of approximately $43 million to $44 million. Interest expense will be approximately 1. 5 million in Q1. And we would expect the annual tax rate in 2010 to be in the mid 20s. Based on a 150 million revenue scenario in the target operating model and these interest and tax assumption we would expect to deliver earnings per share of $0.10 to $0.12 per quarter or $0.45 to $0.50 on an annual basis. Based on current business trends we expect to completely repay the bank credit facility by the end of the third quarter of this year and be left only with a small amount of debt remaining in Japan. In summary, business trends as we see them today continue to be positive and there is evidence that we are taking share in some key areas. Our largely unit driven business continues to benefit from high fab utilization rates and expanding semiconductor production. We are benefiting from increases in capital spending, and we have a solid operating model that should generate significantly higher margins in cash earnings on lower revenues than in past cycles. With that, we'll now take your questions.
Operator: (Operator Instructions). And we'll take our first question from Steve Schwartz with First Analysis Securities.
Steve Schwartz: Can I just ask about the unit driven growth profile through 2010? Right now chip production forecasts for the year look like they actually decline on a year-over-year basis in the second half of the year. And just wondering if you've baked that into your forecast or what you think might happen.
Gideon Argov: Steve, first thing is we have limited visibility going forward as you know we are a book and turn business. Number 2, I would say there are different views of whether unit production will go down. I would say that I've seen significant number of views that say that over the full year unit production will be up. And so I think there is a question about whether that's the case or not. Beyond that, Steve, what I would say is this. Much of our growth is coming from, our top customers which we are concentration on more and more and these are folks who are investing in advanced nodes. And more and more we see them operating at high capacity utilization which means a high intensity of usage for certainly our filtration products and our unit driven products which is positive for us. Most of our new products are aimed squarely at the 45 and below advanced nodes. And as we see that come online more and more, that will help us as well. I would say our outlook is for the full year is positive for unit-driven business. And on a quarterly basis you may see things moving around, but we are generally optimistic for full year.
Steve Schwartz: Very good. With respect to the CapEx recovery cycle, I've heard in the past you all have talked about how you tend to be a little more front loaded in the benefit from that. And then taper a little faster on the tail end because of where you sit in the production cycle for equipment. Do you see that being the case here as we go through 2010?
Gideon Argov: I would say we can't really comment on what will happen on the back half of the cycle. But I will say at this point in the cycle, our revenues from OEM customers is certainly growing at a higher rate than the OEM's own revenue is growing. And I don’t mean that on a customer-by-customer basis but when I look at our total revenue, the equipment manufacturers, the growth rate is like I said higher than the growth rates that they're posting individually.
Operator: Our next question will come from Christian Schwab with Craig-Hallum Capital Group.
Christian Schwab: Great. Thanks for the question. Great quarter. As you look to the 300 millimeter wafer side, what do you think your market share can be? You are getting this at 10% that I've seen this year. What is the target model or target range that you're looking for exiting 2010 and then even potentially 2011?
Bertrand Loy: Hi this is Bertrand, if you think about [100 millimeter] (inaudible) business we closed the year with a market share of nearly 10%. So that puts us in line with our overall model and on our way to gain 20% to 25% market share in the next two years which has been our stated objective. So we are pleased with the way we closed the year. But more importantly, we are pleased with some of the opportunities that lies ahead of us. We've been working very closely with IDMs and (inaudible). And I would expect to break the linear market share gains and be able to grow in leaps and bounds going into 2010 and 2011. This being said, when I think about the micro environment business, there are a number of other reasons to be very proud of what the team has accomplished in 2009. Number one, remember that this team has really fundamentally revamped their business model they've reduced, their break-even fallen by half in the year. And now in a position to deliver 20% contribution margins which is huge. And talking about 300-millimeter, there is another platform which I am very excited about which is we did approve our platform and our new product being the Spectra product which increasingly is being viewed by the technology leaders in the industry as the most advanced and most versatile product platform as they content with the contamination challenges of the next technology. So that's another big area of satisfaction for us as we close 2009.
Christian Schwab: As your look at the contamination control system and obviously unit and demand being significantly better than people think or thought six months ago, are you guys seeing on the filters, et cetera being changed out much more significantly or the faster pace to increase yields as part of that strength or you've seen no dynamic changes in typical wear and tear.
Gideon Argov: What we're seeing is this. When a device manufacturers operating at 90% to 95% capacity. And if your look at the leading device makers, they're targeting particularly the advanced nodes where the capital expenditure to build the fab is so tremendous. The cost of not operating at a very high capacity utilization in terms of the opportunity costs is huge. So they're targeting higher levels than traditionally they have had to at less advanced nodes. At those levels we see an intensity of usage of filtration products that is commensurately higher with what we've seen in prior technology node. That helps us answer it.
Christian Schwab: Perfect. And then my last question, I think you said it but I missed it. What percentage of your revenue this quarter was recurring or consumable in nature?
Greg Graves: 66%.
Christian Schwab: 66%. Great. No further questions. Thank you.
Operator: We'll move on to our next question from Krish Sankar with Bank of America.
Paul Thomas: Good morning. This is Paul Thomas for Krish Sankar. Thanks for taking my questions. Congratulations on an excellent quarter. And maybe looking back, Greg, now at the operating model. You guys pointed out Q3 '06 where you had similar EPS on higher revenues. Where do you think operating margins could go at higher revenue levels now? And maybe you could talk a little bit about having Poco now versus not having it during that period. How does that of change the cyclical view?
Greg Graves: Okay with regard to operating margins, the model that we rolled out we said 12% to 14% at 150 million. As we move up, I would say for every eight to 10 million of revenue, we should add an additional point to that operating margin. So in addition to just having the additional flow through from higher revenue, we should have additional leverage. As it relates to the cyclicality of the business and Poco I think as we've said before the downturn on the non-semi portion of Poco was clearly greater than we would have initially anticipated. But as we watch today, the industrial parts of that business are clearly coming back. We're not back to the run rate that we had when we purchased it. But the business continues to improve.
Paul Thomas: Okay. Thank you. That's very helpful.
Operator: The next question will come from Peter Karazeris with Citi.
Peter Karazeris: Hi. Thanks for taking my question. You talked about strengthening throughout the quarter or basically Q4 the second half being stronger than the first half. Can you help me understand how much of that was driven by the unit side of the business versus the capital spending side of the business? And just as you're going forward into Q1, which side do you see greater strength coming out of?
Greg Graves: Let's take the second half first. And then clearly as we come into Q1 our view with regard to the business coming into Q1 we said we'd expect to be up moderately that view is based on sort of a flattish to up slightly unit production view for the industry and a 20% to 30% up on the capital side of the business which is consistent with what you are hearing that OEMs talk about as they release their earnings. As it relates to the fourth quarter, the trend would be similar; the strength of the business when we saw strength on both unit and the capital side as we came through the quarter, but the capital side is clearly the stronger side today.
Peter Karazeris: Great. That's helpful. And you talked about having a greater focus on larger customers. Are you finding that you're having to do any I guess specialized products or specialized R&D for the larger customers? And if so, is that already in the R&D run rate? Or do you think you might actually have to have a bit of a tick up in R&D just to support specialized needs?
Greg Graves: That's a great question. And yes, we have realigned our sales organization to limit their focus really on a number of strategic and critical customers. And what we've tried to do is really to be more in line with the technology road maps of those strategic and critical customers and be viewed by those customers as a more relevant supplier and technology partner. But that's only one of the many things that we've done in '09. The other critical thing that we initiated in late '08, early 2009, is a total revamping of the R&D portfolio. We have introduced more focus and more rigor in the new product development process at Entegris. What does that mean? It means that we have cut in fact the number of projects very significantly to the tune of 25%. So you have fewer projects. The funding has not changed. And if your look at the R&D spending, the spending is essentially flat today versus what we spent in '06 or '07. It means more money focused on fewer projects which means faster to market, and frankly, better positioned product lines. And I think that's one of the biggest reasons why you are seeing some faster growth coming out of Entegris as we are taking share in our filtration products. And we've taken the time during this downturn to work closely with the major OEMs and we are getting design into platforms which we didn't have access to in the past.
Peter Karazeris: And one last question. I understand the point that you're focused on a narrower set of customers overall. But if your look across the customers you're working with, do you see any strengthening in the customer base? Or in other words is it a broadening strength in the customer base or do you still see, or is it basically a few horses that are really still leading the charge? And then that's it for me. Thanks.
Greg Graves: Well, if your look at the diverse segments of the industry, I think that we are seeing an improvement in terms of wafer starts, pretty much across the board in terms of CapEx, obviously, the foundries and the memory makers are being leading capital spending in terms of technology upgrades, primarily but we are seeing some strength also from our display, our customers, from our LED customers which are markets that we are starting to focus on increasingly as we are finding very exciting opportunities for our contamination and control platforms as they start improving their manufacturing processes and start facing up increasingly challenging contamination concerns. So we've been working with a number of new partners in a number of new markets and we are starting to uncover fairly significant opportunities for our legacy product lines.
Operator: We'll take our next question from Dick Ryan, Dougherty.
Dick Ryan: Thank you. Hey Greg you gave us numbers geographically and I missed what you said about Japan and the US. Do you have to have those handy?
Greg Graves: The US was up 18% and Japan was up 32%.
Dick Ryan: Okay. Earlier you referenced benefit from an industry rebound but also wins in some key markets. Can you spell out a couple of those wins?
Greg Graves: Well, I mentioned two already. The display market was very strong for us this quarter. We grew about 30% in display. And then the other segment was LED where we are finding some very interesting applications for gasification systems. As you know gas in this particular industry and the gas consumption for those manufacturers represented by 30% of their overall cost. So obviously, finding solutions that would allow them to lower their cost of ownership is very, very critical for those industries. It's critical for them now as they support the ramp in the flat panel display industry. But it will become even more so critical as they really start to contend with the next big thing in terms of LED which is really general elimination where costs will become very, very important. So our ability and unique ability to provide them with a platform that allows them to reduce their total costs of ownership in terms of gas consumption is very meaningful to them and very exciting for us.
Dick Ryan: Okay. Greg, when you look at the commentary about second half of Q4 and moving into the first part of 2010, when would your normally see kind of if there is a seasonal easing. When would you kind of see that in your weekly revenue numbers?
Greg Graves: First of all, our quarters are different from a lot of who want to look at technology companies and say is your quarter backend or front-end loaded and I would say there's traditionally not a pattern with regard to any specific quarter. Usually, people look to the industry and expect some seasonal softness in Q1. I would just say that at this point in the quarter, we're certainly not seeing that.
Operator: Again, ladies and gentlemen, if you'd like to ask a question, (Operator Instructions). We'll move on to Marc Balcer with Bluefin.
Marc Balcer: Just wondering if you could comment what's the revenue level kind of on a quarterly rate above which you'd start to have to increase the capital spend again? And what's your flexibility or ability to go above the $20 million rate you mentioned?
Greg Graves: Well, our flexibility under the bank covenants, we've got meaningful flexibility above $20 million because the written covenant is $20 million we have to carry over $5 million to $6 million from last year so. Contractually, we could spend $25 million to $26 million this year. Today, our operating platform is probably in a position where we could support a couple of hundred million dollars a quarter in revenue. So, we are from a capacity standpoint in a pretty good shape.
Marc Balcer: Great. Should I think of the capital spend as more kind of a maintenance capital spend at this point?
Greg Graves: Today that's largely what we are seeing. We do have significant projects that could potentially happen in the back half of the year. But today it's mostly maintenance CapEx and we are just seeing a lot of things. Last year we were very tight on the CapEx. I'm seeing a lot of smaller projects that would fall into the maintenance mode at this point in the year.
Marc Balcer: And that commentary you made about kind of the annualized EPS, I wasn't sure to what extent you were just kind of trying to multiple the quarter, add a penny or two. What sort of assumption are you making there?
Greg Graves: Focusing on that operating model. I'm not saying that our EPS guidance for the year is $0.45 to $0.50 I am just saying if we are (inaudible) at a $150 million a quarter for the year, that's where we would be.
Operator: We have no further questions at this time. I'll turn the conference over to Gideon Argov for any closing or additional remarks.
Gideon Argov: I just want to emphasize what has happened over the past year. We have made permanent and large reductions in our fixed cost structure. We have dramatically shifted manufacturing away from North America and towards Asia. We have a streamlined organization its more responsive to our customers and we are concentrating on the top customers. And we believe its more transparent through you our investors and have had a lot of product development which is aimed at the advanced nodes in order to take advantage of what has been a very difficult downturn to gain market share. We are seeing evidence of doing that and with the fourth quarter results, you begin to see and appreciate of the magnitude of the changes we've made at the company. Thank you for calling in. We look forward to updating you in the future.
Operator: Ladies and gentlemen, that does conclude today's conference. We thank you for your participation.